Operator: Good morning. My name is Angeline, and I will be your conference operator today. At this time, I would like to welcome everyone to the SOPHiA GENETICS S.A. fourth quarter and full year 2025 earnings conference call. At this time, all participants are in listen-only mode. Following the presentation, there will be a question-and-answer session. Should you require any operator assistance, you may press star 0. I will now turn the conference call over to Kellen Sanger, SOPHiA GENETICS S.A. VP of Strategy. You may begin.
Kellen Sanger: Thank you. Good morning, everyone. Welcome to the SOPHiA GENETICS S.A. fourth quarter and full year 2025 earnings conference call. Joining me today to discuss the results are Dr. Jurgi Camblong, our Co-founder and Chief Executive Officer, Ross Muken, our Company President, and George Cardoza, our Chief Financial Officer. I'd like to remind you that management will make statements during this call that are forward-looking statements within the meanings of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated, and you should not place undue reliance on forward-looking statements. Additional information regarding those risks, uncertainties and factors that could cause results to differ appears in the press release issued by SOPHiA GENETICS S.A. today and in the documents and reports filed by SOPHiA GENETICS S.A. from time to time with the Securities and Exchange Commission. During this call, we will present both IFRS and non-IFRS financial measures. A reconciliation of IFRS to non-IFRS measures is included in today's earnings press release, which is available on our website. With that, I'll now turn the call over to Jurgi.
Jurgi Camblong: Thanks, Kellen. Good morning, everyone. I will start today's call with a brief overview of how exiting 2025 SOPHiA GENETICS S.A. sits at the center of some of the most exciting megatrends in healthcare. I will then turn the call over to Ross, who will provide a detailed update on Q4 performance and what's ahead in 2026. George will close with a review of our financial results and guidance. 2025 was a defining year for SOPHiA GENETICS S.A. We re-accelerated revenue growth, signed several of the largest commercial deals in our company's history. We also continued building one of the most sophisticated AI engines in healthcare. In 2025, our platform broke many records. We analyzed over 391,000 patients with cancer or rare diseases using AI to deliver life-saving insights for diagnosis and treatment. We also reached a total of 993 customers globally. Congratulations to the SOPHiA GENETICS S.A. team on these accomplishments and the incredible impact our platform is having across the world. However, building disruptive AI in healthcare does not happen overnight. Healthcare, unlike other industries, requires rigorous validation, clinical evidence, and deep institutional trust before change is enacted. At SOPHiA GENETICS S.A., we have been pioneering AI in healthcare for over a decade. For 15 years, we have gone from institution to institution slowly and sometimes painfully, bringing their genomic workflows onto a single technology platform. As we've added customers over the years, our network and the collective intelligence behind it has been getting stronger and stronger. Top clinicians across the globe depend on SOPHiA DDM each day to generate insights for their patients. In doing so, they contribute a constant stream of data and knowledge to the platform. The data stream in our platform every day makes up one of the most unique and powerful data assets in healthcare. It includes a real-time, real-world genomic data from over 30,000 patients per month or almost 400,000 patients per year. It is also a diverse, complex, and a match in breadth and global exposure, covering patients from 75 countries across the globe. This rich stream of diverse real-world data has enabled us to build what we believe is some of the most sophisticated AI in healthcare. For over a decade, our R&D team, which includes many of the top AI ML data scientists and mathematicians in the world, have been solely focused on building proprietary AI algorithms on top of this data. These algorithms provide advanced multi-layered analysis of genomic and multi-omic data, enabling clinicians to transform raw data into precise, actionable insights for patients. This AI, housed in SOPHiA DDM, offers our customers an invaluable toolkit of analytical capabilities across a wide range of clinical use cases. Over the last 12 months, demand has been accelerating for these capabilities. We signed a record 124 new customers in 2025 and significantly outperformed all internal booking targets, setting up strong to hit our revenue goals in 2026 and beyond. As more customers adopt the platform, patient volumes have grown substantially. However, volume only tells part of the story. While volumes are growing, the amount of data processed by our platform has increased materially. In 2025, we processed nearly 1 petabyte of genomic data in routine usage. To put that in perspective, that's roughly equivalent to 1 billion books or 30 years of continuous high-definition video streaming. It is also nearly double the amount of data we processed just 2 years ago. The stepwise change in genomic data production reflects a shift in customer demand. Customers are increasingly moving from small targeted panels to large comprehensive tests, multi-omic analysis, longitudinal monitoring, and in general, more sophisticated computational interpretations. All those emerging use cases do not only produce exponentially more data per patient, but they also can only be handled by highly scalable AI-enabled approaches. In response to these trends, we launched a major initiative back in 2022 to drastically modernize our platform. This effort included moving the platform from Java to web and microservices, integrating the latest AI tools into our architecture, and significantly upgrading our compute techniques. I'm proud to share that the new generation of SOPHiA DDM, already adopted by one-third of our customers, now delivers 10 times greater capacity per run than standard systems. As a result, we can double the amount of data we can process per week without impacting margins. Compared to other systems where whole genome analysis can take over 24 hours, we can now complete a whole genome analysis in less than 6 hours. This increased scalability also makes our platform much more cost-efficient than standard systems, enabling us to scale advanced genomics analytics in a sustainable way for institutions across the globe. This faster, scalable, and sustainable approach has been a driving force behind our ability to win larger and larger customers, including the recent signing of 2 of the largest healthcare systems in the US. It also has enabled us to expand our adjusted gross margin by 140 basis points to 74.2% in 2025, despite the huge increase in data compute, which to me is an incredible accomplishment. Beyond scalability and operational excellence, our platform continues to delight customers. Our net promoter score is a remarkable 67. Our customer satisfaction score is over 97%. Annualized revenue churn is below 1%. These metrics underscore the speed, scalability, and stickiness of SOPHiA DDM. In addition, our decentralized approach provides an unparalleled ability to deploy AI models directly into the clinical setting. This enables faster innovation and more efficient launch of new applications. A few examples we will investigate in 2026 are MRD solid tumor and DNA methylation. In addition, we also announced a partnership with MD Anderson in January to leverage our AI algorithms to explore the co-development of the whole transcriptome test. Together, these initiatives reflect the expanding capabilities of our platform and set the stage for the next generation of applications we are bringing to market. Which brings me to my final point. Last quarter, we launched SOPHiA DDM Digital Twins. Digital Twins leverages genomic, clinical, and real-world data to create dynamic AI-driven virtual representations of individual patients. These models allow clinicians and researchers to simulate potential treatment scenarios before decisions are made, helping oncologists select the most effective therapy based on real-world evidence from patients with similar genomic and clinical profiles. I'm proud to announce today that we've already begun onboarding our first lung cancer users. Starting with lung cancer and expanding over time, Digital Twins represent a foundational step towards deploying multimodal AI models, which deliver differentiated care to patients. As we approach the 15th year anniversary since we founded SOPHiA GENETICS S.A., I am more optimistic than ever about our trajectory. We have built a differentiated business with one of the largest, most defensible networks in the world. We also sit at the center of the most exciting trends in healthcare and have more demand than ever among our customers. As SOPHiA GENETICS S.A. continues to grow from a vision into a global business, I recognize that it's the right time to bring in a new leader for the next phase of the company's growth. As announced in January, I am thrilled to promote Ross Muken to Chief Executive Officer effective July first. Ross, who currently serves as our company president, has been instrumental in SOPHiA GENETICS S.A.'s success over the past five years. He led our company through the IPO and helped scale the company from $28 million of revenue to $77 million today. Ross brings a data-driven, commercial-oriented leadership style that is perfect for our next phase of growth and needed for scaling the enterprise. I'm confident he's the right person to lead the company to even greater heights, expand our impact for patients, and create lasting value for our employees and shareholders. As for me, I will transition to the position of Executive Chairman, subject to election at the company's annual general meeting in June 2026. In this new role, I remain 100% committed to SOPHiA GENETICS S.A. as a full-time employee. I will focus my time primarily on science and technology innovation and being a thought leader in precision medicine. With that, I will now turn the call over to Ross, who will provide a more detailed update on each of these areas and make a few new announcements on the new business going into 2026.
Ross Muken: Thank you, Jurgi. I'm grateful for your continued involvement as Executive Chairman and excited for the future. Over the past five years, I've come to recognize how unique SOPHiA GENETICS S.A. is and how there is truly no other company like it. From our technology to our customers to our employees, SOPHiA GENETICS S.A. is a category-defining company that is reshaping precision medicine, and I couldn't be more excited to lead this next chapter. Today, I'll begin with an update on our fourth quarter performance as we close 2025 with sustained commercial strength across the business. I'll cover our 2026 growth drivers before handing it over to George Cardoza for a detailed look at the financials. First, we delivered 22% revenue growth in the fourth quarter, re-accelerating the business toward historical levels. Excluding biopharma, clinical revenue grew an impressive 31% year-over-year, reinforcing the strength of our core business. I'm looking forward to this continuing throughout 2026 and for biopharma to pick up after the major recent signings which we saw over the second half of the year. From a regional perspective, EMEA grew 22% in the fourth quarter. Excluding biopharma, EMEA clinical revenue was up a robust 35% year-over-year. Belgium and Germany contributed significantly as the countries grew 93% and 66% respectively, as major recent wins such as GESA came online. North America analysis volumes were exceptional in the fourth quarter, growing 45% year-over-year. On a reported basis, you may notice that revenue growth is lower as we booked a one-time large vendor payment in the fourth quarter of 2024, which created a challenging prior year comp. Excluding this, underlying regional growth remains strong. Asia Pacific also continued to outperform in the fourth quarter, with 44% revenue growth in the period, driven primarily by India and Australia. We also saw revenue from Japan begin to ramp as our new partnership with A.D.A.M. Innovations is now underway and gaining traction. In Latin America, we were happy to see recovery in the fourth quarter with 49% revenue growth. Mexico and Brazil contributed significantly as the countries grew 95% and 48% respectively. From an application standpoint, we continue to establish ourselves as a global leader in hemato-oncology testing. Hemonc volumes grew 27% year-over-year in the fourth quarter, off an increasingly large base. Beyond hemonc, liquid biopsy continues to grow as more MSK-ACCESS customers come online. In the fourth quarter, we recorded just over 2,400 liquid biopsy analysis. We look to 2026 for new higher ASP products like MSK-ACCESS, MSK-IMPACT, and Enhanced Exomes to meaningfully drive overall growth. Moving to new business on the clinical side, I'm happy to share that we continued to book new business at record levels. We landed 30 new customers in the fourth quarter, bringing total new customers signed in 2025 to 124. Average contract value of the new customers signed in 2025 was up 120% year-over-year. I'll now take a moment to update you on recent major wins across the regions. Starting in North America, last month, we announced the signing of two of the largest integrated health systems in the United States, one based on the West Coast and another in the Midwest. The two networks are adopting SOPHiA DDM to support genomic testing for up to 60,000 patients annually with their communities. Both customers are initially adopting SOPHiA DDM for rare disorders utilizing a 20,000 gene Enhanced Exome application. We expect these clients to be what we call routine usage by the fourth quarter of 2026. It's also worth noting that together, the two systems serve nearly 1 million oncology and rare disease patients each year, creating meaningful long-term expansion potential as we integrate our solutions into their workflows. Beyond these two large wins, we also landed NYU Langone Health in New York City and Protlab in Florida as new customers. As Jurgi mentioned, we announced a strategic collaboration with MD Anderson. Through this alliance, we will bring together MD Anderson's world-class oncology research arm and SOPHiA GENETICS S.A.'s world-class AI and algorithm capabilities to develop tests which we can then activate across our customer base. From an expand perspective in North America, many customers signed to adopt additional applications in the fourth quarter, including Vanderbilt University School of Medicine, the Icahn School of Medicine at Mount Sinai, and Memorial Healthcare System in Florida, which is adding MSK-ACCESS. In EMEA, MSK-ACCESS also continued to attract major interest. In the fourth quarter, we signed Labpoint Medical Lab in Switzerland, the Royal Infirmary of Edinburgh in Scotland, and Citogen in Spain to the application, among others. We also saw a large amount of interest in our newly launched solid tumor application, MSK-IMPACT Flex, signing Parapath in Austria, AZ Delta in Belgium, and Ospedale di Circolo e Fondazione Macchi in Italy, among others. In total, we have now signed 21 customers to MSK-IMPACT. In Latin America, we continue to see new business in Brazil and signed the Human Genome and Stem Cell Research Center. We also added the National Institute of Genomic Medicine from Mexico for our MSK-ACCESS test. In Asia Pacific, we signed the National Taiwan University Hospital, who is adopting multiple applications for solid tumor testing, including MSK-IMPACT. We also expanded our footprint in Peter MacCallum Cancer Centre, one of the top hospitals in Australia. Congratulations to the team on these wins. I could not be more pleased with the momentum we're carrying into 2026. I look forward to seeing the new customers complete implementation and begin generating revenue over the coming months. Speaking of implementation, we implemented a record 102 new customers in 2025, including 29 in the fourth quarter, who are now moving to routine usage. This reflects the impact of the actions we took to expand and strengthen our implementation capabilities and shorten time to revenue. While we have made meaningful progress, we continue to optimize this function throughout the year. Looking ahead to 2026, we expect to continue accelerating growth within these three growth drivers. First, continuing to execute and grow in the United States. Second, continuing to expand our liquid biopsy application, MSK-ACCESS. Third, capitalizing on the renewed momentum in our biopharma offering. Starting with our first driver, U.S. analysis volume grew at nearly 50% year-over-year in the fourth quarter. Recent large wins and a strong and growing pipeline give us confidence that this will continue to grow into 2026. Our U.S. commercial team continues to perform at a very high level and with a robust pipeline, we are well-positioned to repeat our record bookings performance this year. Liquid biopsy offers a second meaningful driver for growth, as we have now signed 70 customers for MSK-ACCESS across 29 countries to the application. Of these customers, only about half have completed implementation and begun to ramp usage, giving us a large base to grow in 2026. We also continue to develop our partnerships with Myriad Genetics in the U.S. and A.D.A.M. Innovations in Japan to develop MSK-ACCESS into a regulated global companion diagnostic offering. Activities are progressing well. Interest from biopharma in this product is very high, which brings me to our final growth driver for 2026, biopharma. Biopharma demand continues to build. At the J.P. Morgan Healthcare Conference in January, I met with over 20 biopharma companies exploring partnerships with SOPHiA GENETICS S.A. Our value proposition is now well understood. We believe we're approaching an inflection point as biopharma recognizes the value of a decentralized partner, our massive global network, and the rich data and AI ecosystem it fuels. I'm excited to announce today that we recently renewed our global commercial agreement with AstraZeneca. As you know, AZ has been a major collaborator with us, as in 2025 alone, we signed several new contracts. These include AZ-sponsored deployment of MSK-ACCESS across 30 sites globally, the development of an AI-driven NGS solution for the PTEN pathway, and the signing of a multiyear AI-driven evidence generation project for breast cancer, which we mentioned was the largest contract in SOPHiA GENETICS S.A.'s history. Today, I'm also proud to announce that beyond AZ, we recently signed for the first time ever, a global commercial agreement with a new top 5 global pharmaceutical company. Congrats to the team on this advancement, and I look forward to updating you as details progress. As we enter 2026, we are fueled with substantial new wins across clinical and biopharma. Despite strong bookings conversion, our pipeline remains incredibly strong and is at record levels. Deal size continues to grow, and the number of opportunities in our pipeline above $1 million is expanding materially. Overall, we're pleased with the business's trajectory and look forward to updating you throughout the year. With that, I will now turn it over to George, who will provide a more detailed look at our financial results and outlook for 2026.
George Cardoza: Thanks, Ross, good morning, everyone. As Jurgi and Ross highlighted, 2025 was an exciting year of growth for SOPHiA GENETICS S.A. Before I discuss our outlook for 2026, I will start by providing a brief overview of our fourth quarter financial results. Total revenue for the fourth quarter was $21.7 million, compared to $17.7 million in the fourth quarter of 2024, representing year-over-year growth of 22%. Platform analysis volume was over 105,000 in Q4, compared to 91,000 in the fourth quarter of 2024, representing growth of 16%. Gross profit was $14.7 million in Q4, compared to $12.1 million in the prior year period, representing year-over-year growth of 21%. Gross margin was 67.7%, compared with 68.2% for the fourth quarter of 2024. Adjusted gross profit was $16 million in Q4, an increase of 22% compared to adjusted gross profit of $13.2 million in the prior year period. Adjusted gross margin was 73.9%, decreasing slightly by 30 basis points year-over-year. Total operating expenses for Q4 were $33.2 million, compared to $29.5 million in the prior year period. It is worth pointing out that our Q4 results were adversely impacted by certain items which temporarily impacted results but do not reflect the company's underlying operating performance. For example, adverse foreign exchange movements continued to negatively impact reported OpEx, primarily due to the strengthening of the Swiss franc. The Swiss franc has appreciated by 14% since the start of 2025, which means that our payroll and rent expenses in Switzerland are translating 14% higher when viewed in US dollars. Guardant Health filed patent infringement claims in the United Kingdom and at the Unified Patent Court in Paris during Q3, alleging that our MSK-ACCESS application infringes their patents. This litigation resulted in legal expenses of approximately $1.8 million, which is reflected as an adjustment for litigation in our adjusted EBITDA table. In January, the UPC rejected Guardant's request for provisional measures and ordered them to pay us €400,000 in interim costs, which we expect to receive by mid-March. We also activated an at-the-market or ATM facility with TD Cowen in Q4. We incurred $450,000 of costs associated with the ATM facility in Q4. I am pleased to announce that we have raised $15.5 million in net proceeds, including $1.1 million raised in Q4 2025 and $14.4 million raised in Q1 2026, executed at a weighted average price of $5.12 per share. Operating loss for the fourth quarter of 2025 was $18.5 million, compared to $17.4 million in the prior year period. EBITDA loss for the fourth quarter was $16.1 million, compared to $15.2 million in the prior year. Adjusted EBITDA was a loss of $9.9 million compared to a prior year loss of $9.1 million. Lastly, total cash burn, which we define as the change in cash and cash equivalents, excluding cash received from borrowings and stock sales as well as FX impacts, was $12.3 million compared to $12.8 million in the prior year quarter, representing a year-over-year improvement of 4% despite the Guardant litigation cost impact that we discussed. Now turning to the 2025 full year results. Total revenue for the full year 2025 was $77.3 million, representing year-over-year growth of 19%. Platform analysis volume was over 391,000 for the full year 2025 compared to 352,000 in 2024. Our genomic customers were 528 as of December 31st, 2025, up from 472 in the prior year period and up sequentially by 17 customers relative to Q3. Annualized revenue churn was at a record low of less than 1% for 2025. Net dollar retention for the year increased to 115% in 2025, up from 104% in 2024. This impressive same-store growth demonstrates the stickiness of the platform, as well as our continued ability to expand within accounts by encouraging them to adopt additional applications. Gross profit for the full year 2025 was $52.1 million compared to $43.9 million in 2024, up 19% year-over-year. Gross margin was 67.4% for the full year 2025 and flat to prior year. Adjusted gross profit was $57.3 million, an increase of 21% compared to adjusted gross profit of $47.5 million in the full year 2024. Adjusted gross margin was 74.2% for the full year 2025 compared to 72.8% for 2024, increasing 140 basis points due to ongoing compute optimizations. As Jurgi mentioned, targeted platform improvements by our tech team have driven cloud compute and storage costs lower throughout 2025, an achievement we remain proud of and expect to continue into 2026, despite the increase in data processed with larger panels being run. Beyond cloud compute, we also had a significant reduction in our scrap costs related to bundles, which helped drive gross margin improvements. Total operating expenses for the full year 2025 were $123 million compared to $110.5 million in 2024 as reported in US dollars. While constant currency costs have remained fairly flat year-over-year, the appreciation of the Swiss franc and euro have resulted in higher expenses when reported in US dollars. These foreign exchange movements has significantly and adversely impacted our reported results throughout the year as our expenses still exceed our revenue. Beyond foreign exchange rates, we also made a target investment in our sales and marketing team in 2025. We have seen the results of this in accelerated growth, which is reflected in our 2026 guidance. We continue to be very focused on our expenses and operating as efficiently as possible while still making strategic long-term investments in R&D and continuously improving our platform. Operating loss for the full year was $70.9 million compared to $66.6 million in 2024. EBITDA loss for the year was $61.4 million compared to $58 million in 2024. Adjusted EBITDA loss for the year was $41.5 million compared to $40.2 million in 2024. Lastly, total cash burn for 2025 was $50.4 million compared to $53.7 million in the prior year, improving 6% year-over-year. These numbers exclude cash received from borrowings and stock sales as well as FX impacts. We finished the year with cash and cash equivalents of $70.3 million as of December 31st. Note that this does not include the Q1 2026 proceeds from the ATM of $14.4 million to date, and this will be affected in our Q1 update. In January, we also expanded our credit facility with Perceptive Advisors, increasing total available liquidity by $25 million. We remain confident in our current capital position with respect to the achievement of our long-term goals. I'll turn to our 2026 outlook. As we announced in January, SOPHiA GENETICS S.A. expects full year reported revenue to be between $92 million and $94 million, representing 20%-22% growth. Let me provide a few key underlying assumptions relative to our revenue forecast for 2026. With respect to seasonality, we expect 2026 growth to be mostly back-half weighted as new business signed in 2025 comes online in the second half of the year and as more MSK-ACCESS business continues ramping up to routine usage. We mentioned the two large U.S. wins that we have. These clients will not produce meaningful revenue in the first half of the year. As a reminder, Q1 tends to be seasonally softer from a revenue standpoint, where Q4 is seasonably stronger. We currently contemplate that exchange rates will remain volatile due to macro uncertainties. Since January first, we've seen the U.S. dollar sink further against the Swiss franc and euro, which has had the impact of increasing both our sales and operating expenses when reported in U.S. dollars. The company expects adjusted EBITDA loss to be between $29 million and $32 million, compared to $41.5 million in 2025. This guidance is based on the following expectations. We continue to make targeted investments in our platform, which should further optimize cloud compute and storage costs, and therefore expect gross margins to expand slightly in 2026. We also expect to hold the line on operating expenses in local currency and excluding social charges, as we currently have the correct team size to support our medium-term growth objectives. In addition, we are looking at targeted opportunities to flatten our organization structure and reduce our headcount in certain areas. Lastly, we will continue to revisit our discretionary expenses and execute on identified savings in systems, professional services, and certain public company costs throughout 2026. Overall, in 2026, we expect to drop 60% of every incremental revenue dollar down to the bottom line and demonstrate improved operating leverage throughout the year. We continue to believe that we are on track to be approaching adjusted EBITDA breakeven by the end of 2026 and crossing over to positive adjusted EBITDA in the second half of 2027. With that, I would like to turn the call back over to Jurgi for the closing remarks before we take your questions.
Jurgi Camblong: Thank you, George. I am confident as ever in our long-term trajectory. I am excited for the year ahead as the momentum in our business continues to build. As we enter 2026 and approach the 15th-year anniversary of our founding, SOPHiA GENETICS S.A. is entering its next phase of scale, one that positions us to reach important milestones in the years ahead. Our forward-looking indicators remain strong across the business. We continue to see a steady stream of new customer signings, expanding biopharma interest, rising average contract size, and a healthy expansion in pipeline across regions and applications. At the same time, we continue to be laser-focused on optimizing costs and delivering sustainable growth. Thank you to the SOPHiA GENETICS S.A. team, customers, partners, and investors for your continued trust and partnership. 15 years ago, we had an ambitious vision to transform healthcare through data and AI. Today, we operate the most widely used AI-driven platform in precision medicine, impacting 391,000 patients in 2025 and over 2.3 million patients since inception. I'm so proud of what we've accomplished over the past 15 years, and I know we are just getting started. Please note we are presenting at the TD Cowen Health Care Conference tomorrow in Boston. We all look forward to continuing to update you on SOPHiA GENETICS S.A.'s future success. Operator, you may now open the line for questions.
Operator: Thank you. In a moment, we will open the call to questions. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing any keys. Please be advised that the questions are limited to two questions, and then you can rejoin the queue. Thank you. One moment, please, while we poll for questions. The first questions come from Subhalaxmi T. Nambi with Guggenheim. Please go ahead.
Subhalaxmi T. Nambi: Hey, guys. Thank you for taking my question. Good morning. Your guidance is for 21% growth at the midpoint. Can you walk us through what contributions you're expecting from key growth drivers such as MSK-ACCESS IMPACT and from rare disease?
Jurgi Camblong: Hi, Subbu. Good morning. Yeah, absolutely. We will drag you through that. First, to recap, we ended up the year very strong with a 31% revenue growth year-over-year on Q4, with as well signings for the ACV as being very, very strong. 120% better in 2025 versus 2024 full year. This is now well positioning us for basically a 2026 performance. I know, Ross or George, if you want to comment on the guide.
George Cardoza: Maybe just specifically, you know, to the point you made, the ramping of MSK-ACCESS continues to be a really nice driver for us. Sequentially, we had some sizable customers start to come online in the fourth quarter, and you'll see that ramp continue in Q1 and beyond. We've only seen roughly half of the total cohort start to contribute. Even those that come online, the volumes are relatively modest as it does take time to ramp and liquid. I would say that is certainly a really nice area of expansion for us. You know, you mentioned impacts of CGP. We've had some really material wins, both in ex U.S. as well, as in our native markets. I feel quite confident, we're gaining share, in that vertical. I think in general, you're seeing a shift again to kind of larger and larger panels. In solid tumor, we're well-positioned for that, particularly with our flex product, which I think has some really unique characteristics. Outside of that, I would say overall, as to Jurgi's point, the entire platform has had really nice growth across almost all of the application sets, right? It's really been quite balanced. Those, you know, points you made are obviously some of the true highlights. You know, even on the rare and inherited side, we're seeing really great uptake in our Enhanced Exomes product. And that, you know, was one of the key drivers behind the 2 big U.S. wins we called out several weeks ago. I would say in general, it's really balanced. We've got quite a number of drivers, and I would say we're really levered to a number of the key, I would say, mega trends you're seeing across oncology, diagnostics and NGS that you see with many of the other, you know, key players that you cover. Certainly a balanced and exciting period for us on the growth side.
Subhalaxmi T. Nambi: Thank you both. I feel like you probably answered my second question and smidge. The net dollar retention was up meaningfully to 115%. Can you speak to a bit to what drove the cross-selling strength here, and if you expect this to continue in 2026? Thank you so much.
George Cardoza: We're super pleased, Subbu, with the re-acceleration in NDR. You know, this is really a metric quite critical to us and to any other software company where you're obviously looking at same-store organic growth. First part that we're incredibly proud of, the churn is now actually under 1%. I mean, this is like 99 percentile performance for software. It just really shows how sticky the platform has become and really how hard it would be to sort of move to other opportunities just because again, the uniqueness of what we're able to do from a compute and scalability and cost perspective and efficiency perspective is really unmatched. I'd say above and beyond that, you know, and you've seen this in general, there is a re-acceleration of volumes within sort of NGS, oncology, and rare disease. We're benefiting from that. I would say as well, we've done a much better job on the expand, right? Which is really where this is also a key metric to make sure that, you know, we're enabling our customers to scale not just with the data computes or higher ASPs, but also with bigger volumes and then moving to more applications, right? I would say overall you'll see that continue into 2026 and beyond, particularly given the great number of new logos or new accounts we've brought online, you know, north of 200 over the last 2 years. There's just huge expansion potential, which you'll see come through on the NDR.
Subhalaxmi T. Nambi: Thank you so much for that, George.
George Cardoza: Thanks, Subbu.
Operator: Thank you. The next question comes from William Bonello with Craig-Hallum. Please go ahead.
William Bonello: Hey, thanks for taking my question. A couple here. On the pharma side, obviously, exciting to see the number of contracts that you're signing. I'm just wondering, you know, when you sort of add them all up, beginning with the stuff that you, the expansion that you did with AZ and then the new contracts that you've added, can you give us any kind of sense of the potential annual contribution from those contracts and then maybe sort of the time period over which we would see that revenue begin to roll in?
George Cardoza: Thank you, Bill. I would say, you know, obviously considering, you know, we had obviously challenging performance in the pharma business going back to 2024. We're really pleased to see improved momentum in terms of new contracts and new logos coming online. You know, coming off of J.P. Morgan, you know, I spent quite a bit of time with very senior members of many of the top 20 pharma, and I would say finally our story is really resonating. I think there's really, I would say, you know, specific areas of repeatable business where we can scale. I think on the product market fit and on the, you know, sort of ability to have a much more material contribution to our overall revenue and growth, we're moving in the right direction. That being said, you know, pharma business, as you know, does take time, right, to sort of come online and ramp and also decide. You know, it is long cycle business. We are trending in the right direction. I do think, you know, obviously the contribution into 2026 will be a net positive for biopharma, which is important. Certainly, you know, we're not in a position yet where we're looking for a hockey stick, right? Obviously we're, you know, we're doing all of the right, I would say, strategic steps to lay the groundwork for a pretty nice re-acceleration in later 2026, 2027 and beyond. We're not yet kind of at a point where I would say the critical mass is enough to where I can declare this will be X% of revenue. Aspirationally, you know, we think pharma could be a much higher percentage of total revenue, certainly much greater than where it is today. I wouldn't say we're at a point yet where we can exactly point to that. Certainly as we see more and more evidence of kind of that momentum continuing and building, we'll be happy to share more specific figures to allow you guys to model better that business, which I know has been a bit challenged over the last two years.
William Bonello: Sure. Thanks. Just on the 2 large health systems that you added, thanks for talking about what indication it is that they're using. You know, how do you sort of assess the potential for those, you know, based on your discussions with those health systems, the potential that those customers may want to eventually, expand into additional, indications and sort of what the, you know, what the key components would be to influence their decision one way or another?
George Cardoza: Sure. It's a great question, Bill, and I appreciate you pointing this out because obviously we're incredibly excited to be able to serve two of the four largest health systems in the United States. You know, this is starting with just one application, right? If you look at the growth we had in the period, particularly in volume in the US, nearly 50%, this isn't even, you know, sort of, I would say, contemplating any of that volume starting to contribute. Again, we're really excited about just the size and magnitude that this can bring just again with one application. Give you a sense, we actually have already an expand opportunity in the pipeline from one of these two parties, and it's also fairly significant. I'm super, I would say, optimistic that we'll be able to, you know, grow these accounts materially over time where we're looking and we'll share in the investor deck, and some of the cohort analysis over time. I think what you'll see is our ability to really over multiple periods to grow that initial land by multiples, right? So 2x, 3x, 4x, 5x through the volume uptick, through the increased ASP and through application expand. I mean, these are both accounts that, you know, if we were to fully penetrate them, could be certainly, you know, in the 8-figure range. These are very, very sizable initial, I would say, starts for us, and we're really optimistic we'll be able to convert them on the platform as that remains, I would say, a really attractive opportunity. If you think coming off of last week at AGBT, particularly with all of the new platforms coming online on the sequencing side and the complexity of the chemistry and all of the new applications, MRD, transcriptomics, et cetera. The ability to do all of that in one platform at massive scalability at a cost that makes sense with sort of the labor savings these institutes can see, given where reimbursement's been attractive, this is a very favorable medium to near-term trend for us, and we would expect this to accelerate to others.
William Bonello: Thanks very much.
Operator: Thank you. The next question comes from Daniel Brennan with TD Cowen. Please go ahead.
Daniel Brennan: Great. Thanks, thanks for the questions. Congrats, Jurgi and Ross. Maybe first one just on volume price mix for the 2026 guide. Volumes, I think, grew, what, 16% in Q4, up low double digits in 2025. What does the guide contemplate for volumes and price mix in 2026? Given the push with MSK and liquid biopsy, should we expect price mix growth to accelerate as we go forward from here?
George Cardoza: We've recommended that people do continue to assume that our ASPs are going to increase. We're concentrating on selling higher priced tests like MSK-ACCESS, MSK-IMPACT and the MSK-IMPACT Flex product that we have. We do expect lift from those. You know, these ASPs are much higher, in some cases 2x, what our average ASP is. You should model some increases. Realize too, though, we're also going to be putting on volumes in areas like Latin America, India, Turkey, that do have a little bit of lower ASP, that sort of tempers it out a bit. Generally speaking, I think you saw the 16% in the fourth quarter. I think we feel good about that in terms of the volume growth. Figure the rest of that revenue growth is going to be coming from the ASP lift.
Daniel Brennan: Okay. Maybe second one for Ross. As new CEO of the company, can you just speak to a little bit about your approach philosophy? I assume given the trajectory of the business, it's probably going to continue on what you've been doing. If we look out a year or 2 and then we're looking back at what's transpired, do you think we'll see any potentially meaningful changes? Kind of what type of how will your approach possibly be similar to Jurgi and/or maybe different? Thank you.
Ross Muken: Thanks, Dan. You know, I've still got a few months before I take over, I'm super excited, also, I would say to have Jurgi remain involved in an executive chairman function. I think the two of us will make a very good partnership going forward, being able to really help scale this business. Look, I would say in general, I'm fortunate in that the transition's happening in a period of great strength for the business, right? We have a ton of momentum at the moment. I think the real focus is, all right, you know, obviously we're very focused on getting to the $100 million barrier of revenue, you know, whether that's on an ARR or full year basis. You know, how do we scale materially from there, right? A lot of the effort, a lot of the focus of myself is preparing the organization for that next level of substantial growth and expansion. I would say we have a lot of the pieces in place, but certainly, you know, as you get bigger, you need to put systems and people and technology in place to allow that to continue in a way where the return on that capital is quite appealing, and we create shareholder value. I would say that is a good part of it. You know, the other side I would say is we're still not fully tapping the full value of the platform and the network and the ability to have, again, nearly, Dan, 1,000 institutions connected around the world, right? What we're starting to see as we get to the scale is, you know, one, labs of all sizes really see us as someone, they will need to continue to compete in the future, but not just in sort of the traditional business in precision medicine. You know, you look at again where AI is going with Software as a Medical Device or with, you know, multimodal algorithms. Think about, you know, what's happening in the ABC category with computational pathology and digital biomarkers. You look at, you know, the desire to create, again, these more complex algorithms for patient stratification or patient segmentation in clinical trials. There's just a lot more areas where I would say AI and having a network of the size and the data that we touch becomes really unique on a global basis, given its diversity. We need to figure out how to obviously unlock and scale that. You know, one of the things in the interim that I would say has limited us somewhat is, you know, obviously, as we're trying to get to be profitable, right? You have to be very disciplined on the investments you make. I would say with our confidence in that crossover to profitability in the near medium term, you start to get a lot more capital freed up to make some of those investments and bets. I would expect to see us take products like the digital twins and others and really use that to scale into some of those multimodal and other data related capabilities and really truly build this kind of intelligence layer for healthcare that I think could be incredibly differentiated on a global basis.
Daniel Brennan: Great, Ross. Thank you.
Ross Muken: Thanks, Dan.
Operator: Thank you. The next question comes from Mark Massaro with BTIG. Please go ahead.
Mark Massaro: Hey, guys. Thank you for taking the questions and congrats on all the momentum. One of the key levers to your business, I think, over the years has been your ability to turn on customers. Can you just give us a sense for where you are now with your go live implementation timelines? Can you speak to maybe the infrastructure or boots on the ground that you have, perhaps any metrics you could share about, you know, taking all these customers you've signed on to to make them go live in 2026?
Jurgi Camblong: Yes. Good morning, Mark. Absolutely right. Turning customers in routine has always been part of our business model. As you know, we're being paid on usage. First we land customers, we sign them, then we implement the platform on the customer side, and then we start seeing revenue coming up, right? As you understand, most of the bookings we've been doing in 2025 are going to contribute in our revenue story from mid to end of 2026. The KPI you're highlighting in terms of implementation is obviously something we scrutinize a lot, and it's very important. Ross will share with you where we stand on the momentum and remind you maybe what were some of the actions we had taken last year as well to speed it up the implementation.
Ross Muken: Yeah. Mark, if you look, we're able to complete north of 100 implementations this year, and that was up pretty materially year-over-year. If you look at the sequential cadence of what we did in the second half, it was materially above the first half, right? The actions we took starting in kind of the first part of this year, particularly in the second quarter, really started to pay off. We'll see that momentum continue into 2026. We're starting to see, essentially the amount of revenue released per month similar to the amount of bookings signed per month, which is more ideal, right? We had a period where more was coming into the funnel than was coming out just because we were sort of at this material acceleration period. It doesn't mean that growth isn't continuing to sequentially improve. It is, but we're getting much better at handling the volume, and optimizing a number of steps in that process and essentially managing the customer to a quicker time to revenue and routine. We're also getting better, I would say, at enabling customers to choose products, that are in, from a long-term perspective, you know, future-proofed and things that are more standard for us. You think about, again, MSK-IMPACT, MSK-ACCESS, Enhanced Exomes, et cetera. These are products or our comprehensive hematology product that we can bring online faster, that we're doing multiple of at the same time, and it's allowing again for that quicker speed to revenue. I won't declare victory. I think we still have plenty of places to get more efficient and improve, but I think the trend is favorable and that will help again in terms of that sequential revenue acceleration that we're obviously implying in the guidance over the balance of this year as well, similar to what we saw last year, in terms of the cadence.
Mark Massaro: Okay, that's really helpful. You know, you guys have been driving really strong growth in the U.S. market with analysis volume up 50% in Q4. You indicated you expect it to continue in 2026. You know, since U.S. is still a relatively small portion of your business, do you think you can build off of the 50%? Related to that, you guys do compete with some other send out labs in the U.S. market, some of which have really juiced up their commercial teams, some of which in 2025, others are doing it now this year. How do you think about the right size of your U.S. sales operation, and could that be an area where you look to expand?
Jurgi Camblong: Yeah, absolutely, Mark, right. Actually the U.S. clinical market should be our biggest market. As you remember, we started in Europe, developing the technology there and really penetrated the U.S., from 2022, post-COVID. Yes, to your point, the U.S. market should be significantly bigger with our model. Given that there is more and more data, more and more complexity on the data, we expect to make inroads into many, more new customers and grow those volumes. Ross?
Ross Muken: You know, Mark, I'm really proud of our performance here, in the U.S. I think obviously it's taken some time, for our model to really scale and resonate. I think there's also a bunch of other favorable trends happening, in the space with reimbursement getting more asserted on many of these tests, as well as, you know, the sequencing equipment and consumables getting, more affordable, right? I think with a platform like ours, the ability to generate precision medicine data at scale close to the patient, has never been easier, right? We're seeing a lot of large institutions start to see the benefits of that and really move in that direction outside even just the traditional academics that have done so in the past. In that vein, Mark, again, just to remind you, we don't necessarily view ourselves competing, right, with the send outs because in general some of them actually use us as well, right? It's really our customers that are competing with each other. For example, those two large entities we talked about in the U.S., right? I guess you can say they are going to compete for exome volumes with others in the space, but we don't really see ourselves as necessarily that competitor, right? We're happy to also work with large laboratories doing exomes as well, right? For us, our belief is ultimately with our scale and cost advantage and with the size of our network and the size of just the compute we're doing based on the number of patients, you know, we'll at some point be the largest sort of precision medicine, you know, platform and laboratory in the world, right. Just 'cause we're serving an entire globe, not just regions of the U.S., et cetera. I think with that, it gives us a lot of flexibility. I will say, Mark, you know, last 12 months you're really seeing an inflection in the U.S., right. We're proud of that growth number. To me, there's no reason why that can't even accelerate at some point in 2026 as some of these large customers come online. I'll tell you, and we were meeting yesterday as an executive team, and this is one of the questions. It was, you know, with the performance of that business, do we need to add, you know, headcount? I think we probably will, is the answer. You know, when I look at what others are doing versus us, it's a very different sale, right? For us, if I add 2 FTEs to the U.S. business, right? That's pretty material for us because they're, you know, they're not calling on clinicians, right? They're not calling on oncologists. We're signing entire health systems, right? You know, we pick up 1 million patients, or in this case, you know, in the 2 institutions, 60,000 patients, that's 1 salesperson, right? To do that at a send out laboratory, you'd need many, right? 'Cause you'd be calling on the clinicians. We get much better operating leverage on that. I would say it's astute of you. We're certainly going to be adding, and it's one of the only few places in the entire organization we're adding headcount. Again, if you're thinking of quantum, I don't think we're going to be adding 100 feet on the street. It's, you know, I think in our model, we're pretty well scaled, and we can add incrementally and that new salesperson and productivity adds quite a bit of revenue, right, per salesperson. We're excited about that from an efficiency standpoint as well.
Mark Massaro: Sounds good. Thanks for the time, guys.
Ross Muken: Thank you, Mark.
Operator: Thank you. We have reached the end of the question and answer session. Let me transfer the call over to Jurgi Camblong, Co-founder and CEO for closing remarks. Please go ahead, sir.
Jurgi Camblong: Thank you so much for joining us today. Thank you to all the Sofians for the great work in 2025 and Q4 2025. We're very much looking forward to your impact in 2026. To remind you, tomorrow we are attending the TD Cowen Healthcare Conference in Boston, and we will be happy to see you there and take your questions. Have a good day.
Operator: This concludes today's conference, and you may now disconnect your lines at this time. Thank you for your participation.